Executives: Laurent Vacherot - President and Chief Operating Officer Paul du Saillant - Chief Operating Officer
Analysts: Michael Jungling - Morgan Stanley Chris Cooper - Jefferies Cedric Lecasble - Raymond James Nicolas Lanklate - UBS Julien Dormois - Exane BNP Paribas [Starts Abruptly] Together represents €110 million evident additional people to whom we will aim at providing better life through better vision. In Ethiopia there is an interesting story, this is the second largest population in Africa, very fast growing country almost 10% GDP growth year-on-year. And we develop a very interesting model. We enter four years ago with the social partnership with vision at overseas to ship operation of two vision center providing eye care services to remote Ethiopian community. Then we started to do business, and now in the first quarter we have finalized a partnership with Sun Optical Technologies an integrated lab with a franchise clinic, so it's a way to demonstrate that how the mission is important even creating business for us in a big country. Also in China, we have seen a very good dynamic of Photosynthesis Group, now Chinese Sun and optical retail business through two brands MJS and HOJO which revenue is consolidated for the first time in Q1. Speaking about organic growth, 2.4% growth is in line with our expectation, even if it's below our guided range of 3% to 5% for the full year this was much anticipated and well flagger that our Analyst Meeting back in February, and also mentioned in the call of Q3 in October last year. Organic growth should increase over the next few quarters as new products and growth initiatives are deployed. So what are the key learning for the performance in Q1. Four main takeaway; first our Lens division grew by 2.8% from a high comparison basis in Q1 last year. This is also a sequential acceleration from Q4, which was driven by the rebound in two key markets USA and China. This is the first inflection point, which we expect to emphasize in the next few quarters. Second, the Equipment division had a great quarter at plus 7.3%, which shows the appetite for investment and the confidence of all player in the industry. Third, our Sunglasses & Readers business division was down 2.2% on like-for-like basis, and this is entirely due to weather situation in FGX in North America, which will not repeat for the next quarters. We expect this division to deliver growth as soon Q2 and to finish the year up mid-to-high single digit. Fourth the online activities accelerated organically close to 14% thanks to a strong dynamic in optical lenses and sunglasses. We would like now is to review more in detailed division by division, and I will start with the Sunglasses & Readers performance. So as you understand for the Sun topics. Foster Grant in North America was down compared to last year, compared to an usually high comparison basis due to big delivery of a new contract in Q1 2016 as well as certain promotion run by customer, which took place in Q1 last year and will happen in Q2 this year. This is something we had widely anticipated. The outlook for Foster Grant in America - in North America is positive for the next quarter underlying growth is good out of the store growth is good and long term contracts have been finalized and expanded, which is a good news for the next coming quarters also sales outside of North America as strong. Second, Xiamen Yarui Optical in China was up mid-single digit. This performance has been impacted during the quarter by some delivery delays from external supplier that Bolon was using as they were starting the new factory in February. From Q2 Bolon will benefit from a modernized state of the art supply chain including the new factory and the new inventory management system now fully operational. We should see the benefit in this new quarter in the next quarters. We already see a good acceptance of the new 2017 collection as witnessed by the online sales and also some sales in our own stores, which are going around 60% year-over-year. Number three, Costa in North America return to double digit growth after three quarters at single digits, despite ongoing challenge in the sports channel in the U.S. this is trying to the diversification of its point of sales beyond sports outlet, it's increased its presence in 350 new store in the U.S. and it in terms of strong success or its prescription offers as its new collection and its online channel. Lastly, Merve in Turkey go nicely and again our activities in China, our retail activity in China, the new sunglass and prescription retail in China also perform both with the solid double digit growth based on growing demand, brand recognition and new doors opening. So that was for the Sun and Readers division performance. I would like now hand over the call to Paul, that he will comment our Lens division - Lens and Instrument division.
Paul du Saillant: Thank you, Laurent. Good morning everybody. So as you heard our Lenses and Optical Instruments division grew by 2.8% in acceleration versus Q4 2016 despite a marked downturn in Brazil. North America is in a stronger position. It posted organic growth of 2.3% in the quarter a meaningful sequential improvement from the last three quarters. In the U.S. we saw better momentum with independent optometrists driven by newer fill and the addition of new members in our alliance, in the networks, Vision Source, PERC/IVA and Optiport. The activity was key accounts were also on an upfront led by demand or higher end product. Online in North America enjoyed double digit growth driven by our eye glasses sides by direct and indirect while our contact lens and glasses sight clearly continue to improve. Transitions sales to eye care professional were up, but they did not completely offset the continued decline of sales to other lens casters. Finally, Canada was more dynamic. Europe was resilient despite a difficult start of the year in some markets mainly France and Central Europe. In term of highlights, in Scandinavia, we saw excellent growth led by the ramp up of the new supply contract with SimSam [ph] the leading optical chain in this region. Eastern Europe and Russia where equally strong, central Europe, southern Europe and Benelux posted growth in line with the region average. As I said, a handful of countries faced soft market conditions at the beginning of the year. This was the case in France, where as witnessed by the statistic from the bank default so eastern markets was down by 1% in Q1 versus Q4 last year. We generally showing a more pronounce decrease. For the UK, while we experienced healthy growth with independent optometrists. We are currently building newer sales for boots in order to get back to the sustain trend growth, we had extents with them since 2012. We had a great contribution from our online businesses in Europe namely lens wins in Scandinavia and Vision Direct in the UK. And our recent acquisition MyOptique delivered well also. In Asia Pacific, we saw a two speed dynamic, fast growing market and mature market. On one hand the fast growing markets delivered double digit growth even though the demonetization in India continued to wait on the beginning of the year. China return to double digit growth, which is a real source of satisfaction for all of us. All our networks showed good momentum supported in particular by the success of blue light filtering lenses, which are available across all business entities at different price points, in the high end Eyezen delivered strong growth making China its first market. The Asian countries, South Korea and Turkey where equally dynamic, this said the growth in Asia was diluted by slower growth in Australia and Japan. In a very different form Latin America presented a contrasted situation. On one hand solid growth in the Spanish speaking markets and on the other hand heavy pressure in Brazil, which explain the deceleration compared to Q4 2016. In Brazil as you know the economy has been experiencing a pronounced economic crisis for the last two years, which has translated to a decline in both volume and product mix. The other countries in the region are posting double digit growth led by Mexico and Argentina. The group continued to invest to expand into new territories with two objectives take advantage of under penetrated markets and diversify our geographical exposure of the Brazilian economy. To be said we entered Guatemala lately by forming a partnership with Optical Center the prescription laboratory running 50 stores. Based on the success we have with similar venture in Costa Rica and Chile where we have been able to introduce Crizal and Varilux in the stores of group provision and optics on the home such business models allow us to speed up the penetration of key lens categories in those countries. Going forward this helps us lay the groundwork for more sustained and balanced growth in the region with very interesting business models. With 7.3 like-for-like growth we had a very good quarter in the Equipment division, highlighting a great portfolio of products and the rollout of new technologies in almost all geographies. These are the main takeaway that I wanted to share regarding the business trends by region. But I also would like to give you a different perspective on how we grow our business quarter-after-quarter. As you know for the group as a whole, the teams rely heavily on our strengths in innovation to build loyalty with existing customers winning new ones. But most importantly address consumer evolving mix. The first month of the year against demonstrated the appetite for our new product among eye care professionals. Eyezen, we have now successfully subject to defense as an industry standard for the connected life. It is a real success in China like I said, and South Korea. In the U.S. we saw accelerating momentum in the first quarter. Overall volume grew by more than 40% compared to Q4 last year. More generally in the field of vision protection, our new eye protection system, which are further highest level of transparency among anti-blue lens is showing very good consumer acceptance. As an example EPS equipped two lens out of three within the valued series product range today. At Transitions, our teams are enlarging the offering in photochromic lenses, the newest of this transition at style at that colors also a wider variety of color and I can tell you it is really cool. It is affecting more and more young wearers. This launch has been very successful in Italy, well it was first introduced and the product that's now been hold out in more than 10 countries so far. In Q1 the growth of Transitions sales for our own networks was around 4%, still below the potential for the brand and our own expectation. The main event for Transitions is the launch of the new lens plan for the back to school season in the U.S. and in Europe. Laurent had mentioned it to you in February. With this new product, we are looking to hold out that technological breakthrough that we believe could accelerate adoption of photochromic lens by single vision wear. I remind you that photochromic penetration in single vision lens is only 6% today. Finally, Varilux X series in our launched in Europe since beginning of April, starting with the UK, Germany, Spain, France as we speak and will be launched in September in the U.S. It is the most advanced possessive lens within the brands range bringing enhance visual equity at near distance or within outreach, especially suited for multi task activities, it was very well explained by Ana in February. It has been design for today's young people, and will help all progressive lens for her see better. We see great level of acceptance among first consumer if you contribute to broaden the progressive lens category. The first wave of Roadshow generated a high level of enthusiasm among eye care professional in Europe, just think about it, we're having 75 vote for meeting scheduled by the end of Q2 gathering more than 12,000 ECPs. This innovation represented the key opportunity to strengthen our relationship with our clients and support their growth in this very key year. So as you can see the lens business is in the period of strong innovation in all of our geographies, which should build further momentum in the coming quarter. With this Laurent, I'm handling the call back to you.
Laurent Vacherot: Thank you, Paul for this very fantastic description of the business and the beautiful pipeline of product that we are implementing in each market moving forward. So in summary, we are convinced that Essilor growth momentum should accelerate in the next few quarters as we continue to deploy those many growth initiatives. We expect also solid contribution from acquisition, and we expect acceleration of organic growth revenue in the next quarter, thanks to five items. Number one, has Paul explained very well the fantastic implementation of innovation in key categories and key brands all across the world. Number two, the normalization of the growth pattern of Sunglasses & Readers division, which we expect to post mid-to-high single digit growth for the next three quarters. Third, the further acceleration in the U.S. driven by our eye lens network of independent optometrist and innovation; fourth, improvement in certain fast growing market such as India; and fifth, an acceleration of the online activities including the addition of Vision Direct in the organic scope and continued improvement at Clearly. So based on those facts, we consume our objective for the full year 2017. 6% to 8% revenue growth excluding currency effect for the full year out of which 3% to 5% coming form like-for-like growth and the contribution margin around 18.5% of revenue and something that due to the progressive effect of our growth initiatives and the comparison basis we expect a higher level of growth and profitability in the second half of the year through the first half. With this, we are now happy to answer your question. Understanding that this call is about Q1 result, and we will focus on these results and activities and we will not take questions regarding the proposal combination with Luxottica on this call. As you know if you have any question you can contact our Investor Relations team later today. So Nancy, I think we can open the Q&A session.
Q - Michael Jungling: Thank you and good morning everyone, I have three questions. And firstly on collateral damage, have you seen some headwinds to your sales growth post the announcement with Luxottica and do you expect the risk increasing throughout the remaining quarters given what you have - I guess have been discussing with key accounts so far? Question number two is on coastal.com in the U.S. can you comment specifically on what the growth rates have done this quarter? And question number three is on the April sales performance are you seeing an acceleration in organic growth compared to what we have seen in the first quarter? Thank you.
Laurent Vacherot: Thank you Michael, so I think I will take the three questions. So collateral damage very interesting question actually, you'll see when you do that kind of certain move in the industry trying to build a great leader to drive the industry and good industry it's creates a lot of discussion in all the market. For sure - we measure from some collateral damage as you call them. Up to now we're not seeing significant impact in sales. Our sales so far everywhere in the world very, very active and busy close to customer calling on new product explaining what we can bring to them and it's through for key account, it's through for independent, is through for buying group. So we are on the ground explaining all those innovation product and it seems that at the moment we have - we don't see major collateral damages. Now for the future we'll see discussion with key account of more positive as Hubert said many time in January. I think this kind of move was expected in the industry and to drive and to grow such an industry where all the needs are so obvious for new product, for better efficiency. I think the project will help the whole industry to be better and will benefit to whole industry Coastal.com in the U.S. is still slightly negative, improving, but slightly negative. I think what's important to note is with our three different channels in the U.S. we are growing double-digit close to 20% as a whole and faster in lenses, glasses, eyeglasses and as usual a little bit slower mid single-digit in contact lenses like the market. So I think in the U.S. specially and overall for the group the online division this quarter accelerated the full organic growth. April know it's too early we see positive signs, but we reach too early to have a try and forward that it will be original, we stop the year with the - we start the quarter with the Easter that is very important in some countries that could be delaying a little bit the better vision we may have for April.
Michael Jungling: It's kind of follow-up on April, because if I look at so the Easter effect especially in Europe, I suspect that many companies including yourself probably benefited by as much as five working days if you include holidays opticians may have taken in addition to the public holidays. Do you feel that in Q2, you will pay the price for the extra selling days you had in Q1?
Laurent Vacherot: I think the number of days we can take it one way or the other. The need for better vision on the quarter, I don't think there is that many impacts of more days, all days that you know consumer they need to go, they go, and we don't see, we don't expect to suffer from that. Especially at the time we have our new product brings activities and a lot of motivation among our customer. So now we don't expect to suffer from that.
Michael Jungling: Thank you. Very helpful.
Laurent Vacherot: Thank you, Michael. Next question?
Operator: We will take our next question from Chris Cooper from company Jefferies. Please go ahead.
Chris Cooper: Hi, thanks. Good morning. Firstly on the e-commerce, I know you said that in the U.S. it grew 10%, you have an equivalent number for the global footprint least. And also just a quick follow-up that question on Coastal, I know your capital markets that you'd expected this positive territory by now. Could you just elaborate story on what disappointed you there and I'll come back to my second too.
Laurent Vacherot: So, yeah, thank you Chris for your question. So as I said, overall the e-commerce activities accelerate organic growth everywhere, it's close to 14%. So it's not yet exactly where we want to be, but it's well actually it's more than 14% organically. So yes, Coastal is now states still slightly negative, it's mainly in the glasses in the U.S. But at the same moment, we have two very fast growing models which are EyeBuyDirect and Frames Direct and with the team we are looking at what we - what other takeaway from there. In contact lenses, Coastal in the U.S. is going a little bit faster than the market. But again, Coastal is now in the U.S. very small compare to the total business.
Chris Cooper: Yeah. Okay. And thank you. On Transitions, apologize if I missed that, but I think you said 4% growth for sales to own channel, but I don't believe he gave us a number for the rate of sales growth to third parties, can you just confirm that. And also give us an update on the dollar amount of sales that you're selling of transitions to third parties today. And then lastly, a slightly bigger picture question just on Brazil, it clearly the economic situation that didn't come as a matter of surprise, but can you just share your expectations for how you see this market development going forward the next couple of quarters? And then do you have any strategic options there I guess available to you to get back to the trend growth more quickly.
Paul du Saillant: Okay. So let me take your questions. On Transitions, the out of good sales is around 10% decline in the first quarter. So that's - and it is mainly its more tilted to the U.S. than to Europe, the other group. On Brazil, I think the way to look at Brazil is first to keep in mind that the position that we have assembled in Brazil are very good. We have the position of key brands, a key categories for a very long time, we have more recently in the last five years some very good mid-tier offering, which was a very good anticipation of being well position for this economic situation or that is a key asset, we have made partnership with many very good local labs that give us a very good coverage of all the cities and very good position also from all the mid-tier, we have invested in our local production plant as you record we told that you from two years ago. So in a very difficult market, which is clearly declining a mid single-digit and in an overall economy, that is declining for two years in a row of teams are well equipped to defend our position in this market and a campaign optician and the key retail actor and we will position when the market will turn around. To tell you how fast the market will turn around is difficult to say, clearly the first part was not easy to early like Laurent said to see where the second part we will go. Our business was quite doing well until the third part of mid last year. So we will start to compare ourselves in Brazil from the second half to a declining situation. So we have a little bit more easy comps from H2, that's what I think we can say at this point.
Laurent Vacherot: Thank you, Paul. Next question?
Operator: We will take our next question from [indiscernible] from company HSBC. Your line is open. Please go ahead.
Unidentified Analyst: Hey, hi, good morning. It's Andrew [ph] HSBC. I have three questions. First of all, maybe could you come back on your innovation pipeline I think you've outlined that it would be an acceleration and I think you you've mentioned the big launches, but in terms of maybe of timing or when it should affect actually supports your organic sales growth if you can share maybe a few dates for the four main markets. Second question relates to bolt-on acquisition I think this year I understand correctly there are two sort of completing factor one you've done a lot recently and still doing some and then given that you had the antitrust clearing of the deal with Luxottica going on you're probably going to slow down the process, so any indication and how you see the condition from bolt-on acquisition evolving in the remaining few quarters of the year. And if I would finally on the U.S. market, could you elaborate, why you are confident that's the recovery that we've seen is sustainable for the remainder of the year. Thank you.
Laurent Vacherot:
. : Also in the U.S. most of the new initiatives will be, most of the new product will be as the Paul said during the second quarter - second half sorry, they will loss at the same time of the Varilux X and the new Transitions in the second part of the year let's say for back to school in August, September. And finally we don't have yet the final number for the market itself, but the preliminary number we got show a slight improvement again in Q1 versus Q4 and versus Q3. And then there is also for Q2 kind of technical timing effect or for big convention of the Vision Source member of that where the Vision Source the buying would be just selling services and service in many services happened in the first half, in the first quarter of this year - last year, sorry, it happened in the first quarter last year, it will happen in the second quarter of this year. So all of that combined it give us some level of confidence that the U.S. will continue to grow and eventually accelerate growth. Bolt-on acquisition, no we continue to do bolt-on acquisition you're right that we have done a lot last year especially at the end of the year that there is still acquisition even with the project of combination that we can - we can we will execute during the year it has been quite up 4%, 4.6% of the first quarter, it may slow down a little bit in the second half, but the contribution for the full year will still be significant this year. Number one, yes on innovation, so clearly we have entered into let's say 18 months of deploying key innovation progressively for the different geographies and as you have understood in between Eyezen, eye protection system for the blue protection, the new Varilux X transition style of that color and then very powerful new product coming from back to school some work we are preparing on Crizal for 2018, each countries have to really well stage to where they use those and leverage with innovation. As you understood, we are already deploying the Varilux X starting with Europe in Q2 expanding it to the U.S. in September and to the rest of the geographies, Eyezen is already in the market, eye protection system is progressively penetrating starting from eye and different product range strong in Europe, starting to be equal in the U.S. same productivity on our geographies and transition we will start as I said, back to school, Europe, U.S. So U.S. to see that this pipeline of new product is coming gradually to our partners from Q2 and building up all the way into 2018 that is the way I think you should look at it.
Unidentified Analyst: Maybe just to follow-up, so on the bolt-on acquisition do you think that 4% contribution for the full year is an achievable. And then on the U.S. market growth that you mentioned I think Q2 and Q3, I think Q2 was like slightly negative than Q3 plus 0.5% or something like that, could you remind us what was the U.S. market growth in Q4 and in Q1 2017?
Laurent Vacherot: Okay, so yes between 3% and 4% for the full year could be a good for the bolt-on acquisition, could be a good performance. And something that as you know we never approved to do a number, we closed when everything is ready, we do the closing of the deal when everything is ready and when it makes sense for us. The U.S. market it was slightly positive in Q4 something like 0.7% or 0.5% and the preliminary number in the Q1 should be around plus 1% so this is latest positive tone in the market. And again you know the slowdown, the very high growth was somewhere in 2015, early 2015 so late to 2017 we should see those consumer coming back to buy back, so we could expect a recovery of the market and the next generation of the market in the second half of the year.
Unidentified Analyst: Many thanks.
Laurent Vacherot: Next question please.
Operator: We will take our next question from the line of Cedric Lecasble from company Raymond James. Your line is open. Please go ahead.
Cedric Lecasble: Yes, good morning Laurent, Paul and team, this is a Cedric Lecasble from Raymond James. I have two questions many have been answered, but two remaining. So first one on China would it be possible to have an update on how's the market is evolving, it seems to be more dynamic today, you've seem happy about once a market to what you are doing in this market, could you maybe come back on the main competitors, leading competitors in the dynamic market in China, and how you position yourself, and how this market share is evolving it would be helpful? And the second one is on Europe just on the French weakness, could you tell us where it comes from and what are the remedies during the rest of the year to try to offset it? Thank you very much.
Laurent Vacherot: So Thank you Cedric, I would take the first question on China, and Paul maybe you can elaborate on the French market. So many, many question in your in your question. What we see in China is the solid strong demand from consumer, but China by the nature of the market is very sensitive to distribution meaning wholesale and inventory in wholesale and inventory in stores, mainly because most of the market is still said with simple products which are inventory. So the demand in selling from consumer and we are - we bring effort it's also through in the sun business, it's also through in the lens business to rationalize the distribution and to make it more efficient, so there is those two dimension. Then as far as the competitive situation, as you know we grew in China with our key brands in the top of the market and then starting 10 year or most ten years ago we started extend our presence in mid-tier market with the acquisition and the partnership we did in China. We also saw few wholesale as well or partner with the few wholesaler and now we cover pretty well the whole in China. On top of that more recently with the acquisition of the company MGS, we are present in one thousand going number of store in the biggest mall, so we have a better feeling of the demand and we have a better way to drive the market and to develop categories in that market especially something is developing very well at the moment, which is all the product protecting against blue light, the blue protection in China make a big in road and help us to sell more better mix of product. So we could speak about China , does it answer your question Cedric?
Cedric Lecasble: Yeah, absolutely. So you have the impressions that you are winning share in both high-tier and to mid-tier?
Laurent Vacherot: We get so, overall we believe so. And with the additional go to market of MJS it should be even faster. So Paul on the French market?
Paul du Saillant: On the French market thank you Cedric for your question. First generally retail in France was very soft entering into the year, in general it was not a strong amount of full in term of consumer. This being said, second we have to keep in mind that our French activities comparing itself to good first half of 2016. Third, what our teams are doing is very clear, they are bringing to the market in France very good innovation, and they are working in a very efficient way with the optician, with the optician channel. Second, as we've always heard, we have a multi-network positioning, we have different companies active in the French market, so we can address all needs at all the different price points, in a very segmented way of the market. So when you bring all of that together, I think our positioning in the French market continues to bring a lot of agility in this market leveraging the innovation, they were price positioning, addressing all needs and continuing to provide good Visioncare with the latest innovation in France.
Cedric Lecasble: So after the 2%, 2.2% of performance in Europe in Q1 globally, does an extrapolation of 2% to 3% growth for the whole year make sense. Do you think it's achievable to come or pretty tough you had a very good performance last year, do you think it's achievable to do same kind of gross over the next few quarters?
Paul du Saillant: I think we told you in February, that the 1% to 2% growth in Europe was the kind of the idea we had, taking in account exactly what you said that we had a very good 2016, putting actually very decent 2015. So the first quarter is in line with that on the good side. And I think the teams are doing a very good job leveraging for that innovation. The comp is a little bit in the second part of the year, so far so good for Europe.
Cedric Lecasble: Thank you very much, Paul and Laurent.
Laurent Vacherot: Thank you, Cedric. Next question?
Operator: We will take next question from the line of Nicolas Lanklate from company UBS. Your line is open. Please go ahead.
Nicolas Lanklate: Hello, good morning, everyone. I have got three questions please, the first one on Transitions, so you said out of group sales decline 10% around 10% in Q1, was an improvement or deterioration just as the previous quarters. And so now, do you have a bit of view on the reason of the out of group sales acceleration. Is it related to lower market demand for your clients or do you see your client shifting to your sales? Second question on the U.S., do you plan to start increasing the collaboration with Luxottica already in 2017. And lastly, on the U.S. as well, can you remind us when you will annualize the non-recurring element of 2016. We have the Medicaid and Veterans effect notably? Thank you.
Laurent Vacherot: Thank you, Nicholas, a lot of very precise and interesting questions. So on Transitions, no the decline is if I remember well comparable with what we saw in the 2016. I think for the inside group, as that we explained maybe in Feb or earlier - earlier in Feb. We have since the second part of last year, and it's tough to show some to demonstrate some improvements or organize differently and reinforce the organization and the focus, the focus on Transition by naming full time Transition champion in 10 of our biggest country, which coordinate all the effort to develop the category and develop the brand. As Paul said, we are not yet at the stage we are inside - increase of inside sales or shift the out of group. But we have a good sense that it could happen in the course of the year. The other fact is be under don't know about all the innovation we will launch in the second half, they don't know yet in detail what will happen. So we expect as well from that those announcements of new product for back to school released of Transition especially inside group. U.S. collaboration that with Luxottica that we collaborate as two independent company as we have done in the last 20 years and we cannot do more obviously than think that head business of lens sense. And on the anniversary of the annualization of the Medicare, Medicaid I think it's tough to be in Q2, and we'll be for 2Q, 3Q, Q4.
Nicolas Lanklate: Okay. And you didn't see any new non-recurring items in the U.S. for the moment?
Laurent Vacherot: No. We had one that I mention, but that's only one we see at the moment.
Nicolas Lanklate: Okay. Perfect. Thank you.
Laurent Vacherot: Thank you, Nicholas. Next question, please?
Operator: We will take next question from [indiscernible] from a company Societe Generale. Your line is open. Please go ahead.
Unidentified Analyst: Hi. Good morning, Laurent and Paul. Three question if I may, one regarding the U.S. market growth in the underlying growth. Can we get a flavor about how do you compare the 2.4% to the market in the U.S. A slight different question, but I was wondering if I am wrong when I'm thinking about the contribution from the internet division being a 20 bps to that growth. Second question deals with Bolon in China and can we get some idea over a better idea regarding the underlying growth in China. And finally regarding the scope and bolt-on acquisition we had a big mismatch between consensus and what has been reported actually namely in Europe and in sunglasses. Can we get a better idea of exactly we had by up pick that was fair enough, but a better idea, better sense of the acquisition being made in these two segments last region? Thank you.
Laurent Vacherot: Well, a lot of questions so, I not sure, I got well number two.
Unidentified Analyst: Regarding Bolon?
Paul du Saillant: For internet.
Laurent Vacherot: No, no contribution for internet. Okay. And number three Bolon, what was the question exactly?
Unidentified Analyst: Can we really get the figure of Bolon growth in China?
Laurent Vacherot: Okay. So I start with the number three and contribution of internet I take and the market, the U.S. market I well take it as well. So Bolon was [Technical Difficulties]. Last year and it seems that there are lot of fruits they also develop quite well sales on e-commerce and internet and quite well community management with the social media and so on, and for such a brand it seems to be quite successful. David? We lost David
Operator: Thank you.
Laurent Vacherot: Thank you, David. Next question.
Operator: Thank you. We'll take our next question from the line of [indiscernible]. Please go ahead.
Unidentified Analyst: Hi good morning, [indiscernible] from Redburn. Thanks for squeeze me in. A couple of questions, just again on Transitions, with knowledge with HOYA on Transitions have you seen any reduction HOYA's demand there obviously the effect from calls wise last year, which is the main driver of the declining of third party Transitions sales, but has there been any impact HOYA changing that ordering at all if you could be my first question. And just in the UK the weakness in the UK that you mentioned is it more just UK can stimulate or is other things that you can do about that as you mentioned with relationship with boots?
Laurent Vacherot: Okay, so you can take the two questions.
Paul du Saillant: Yes HOYA has been as part of this decline of the out of group sales of Transitions, it is both ZEISS and HOYA that have declined they have purchased from Transitions. I think you have to - sot this is something we've always said as from 2014 that would happen. What is important to keep in mind is what everything we shared with Laurent and I on the innovation pipeline that we're feeding into the Transitions brand in the quarters to come, and I think it's very important to well-read the way we are making the brand younger, bringing very, very interesting innovation to the market, targeting the single vision. So I think that's the way to read this all change of the Transitions dynamic. In the UK, yes there was softness in the beginning of the year in the market as a whole. As I said, our independent channel is behaving very well leveraging our key brands, our media program, our innovation, and it is normal with boots, we are working on activating the right innovation, the right new consumer benefits who the 600 plus boot store to support their growth in the competitive UK market, that's normalize our partnership with boots has been very, very fruitful for them, for their positioning, for us leveraging all of our inspection solution and product, and we are to point which is important to bring new things, new benefits, so that's exactly where we are, that's what I wanted to share with you in my point earlier.
Unidentified Analyst: That's clear, so that you would hope to see the benefits of that later this year or is that more of a longer term?
Paul du Saillant: No, no, we should we have some innovation that they should leverage in our portfolio of innovation to go back to market as stronger, and no it's not, it's a current discussion.
Unidentified Analyst: Great, thanks.
Laurent Vacherot: Thank you, so next question.
Paul du Saillant: And please do understand, the quality of the partnership with boots is of top quality, it's very successful, it's a very, very successful long term partnership that we are and similar with Walgreen in between world win and FGX in the U.S. also very powerful relations.
Laurent Vacherot: Very good, thank you. Next question.
Operator: We'll take our last question from Julien Dormois from Exane BNP Paribas. Your line is open. Please go ahead.
Julien Dormois: Hi good morning, Laurent and Paul, I try to be quick. Actually I have two questions, one in just a housekeeping, is what you mentioned for Sunglasses & Readers for the upcoming quarters, you mentioned meet too high single digit it was just to make sure that with your targeting mid to high single digits for the remaining three quarters, and not for the full year 2017, especially considering the slow start in that activity in Q1. And the second question is more that strategic, it's relates to move that we've seen in the industry over the first quarter of 2017, so we've seen LVMH and Mascola [ph] setting up a joint venture together, we've also seen carrying eyewear and reach more entering into a strategic partnership. So I was just wondering whether these could prove opportunities or threats to your current business and possible section in the question to once you will be along with Luxottica whether that they do represent a threat to the combined entity.
Laurent Vacherot: Okay, thank you Julien. So the first question yes, we expect mid to high single digit quarter for the next three quarters and then as a result the total will be mid to high single digits depending on how many quarters will be high single digit in - for the remaining part of the years. Let's target around, let's target the mid single digit and then you will be safe. Yes, there has been a lot of movement in the industry. I think we should go back to the basis of this industry it's under develop industry, where there is still a lot of do to do as far as quality product, as far as quantitative - qualitative and quantitative offer to do product, to the market, to the industry, and you can only do that when you can you combine market ability most of this like we want to do with the combination in Luxottica. And yes in this industry the bigger you are the more capability you have to develop the industry and provide the proper solution as far as price, quality, turnaround time to the end consumer. So yes we started to initiate a movement, a long time ago in the lens business itself, now we started to expand our activities in frames, and online, and yes Luxottica combination that will happen in the next coming months it's a little bit of a new way of how development and acceleration of development of this industry for the benefit of the consumer and for the benefit of older play of the industry.
Julien Dormois: Okay that's, thank you.
Laurent Vacherot: Thank you, Julien. So I think there is no more question. So I hope you understand that with 10% growth in the first quarter, we are up to a good start and we explain at the same time where issue where all have been in the last quarter what are the positive initiatives we see implementing and going and anything else for in the future. And I think the next - on the whole there will mail event for this very important general shareholder meeting, and then July 28 for the first half results. So thank you all of you, thank you for your support and your time and have a great day.
Operator: That will conclude today's conference call. Thank you for your participation ladies and gentlemen.